Operator: Good afternoon. My name is Kyle, and I'll be your conference operator today. At this time, I would like to welcome everyone to the DISH Network Corporation Q4 and Year End 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Kiser, you may begin your call.
Jason Kiser: All right. Thanks, Kyle. Thanks for joining us. My name is Jason Kiser; I am Treasurer here at Dish Network. Joined today by Charlie Ergen, our Chairman; Joe Clayton, our CEO; And Tom Cullen, EVP of Corporate Development. Also have Roger Lynch, the CEO of Sling joining us for the first time; Bernie Han, our COO; Steve Swain, our CFO; Paul Orban, our Controller and Stanton Dodge, General Counsel. I think Joe Clayton has some prepared remarks that he liked to go through. Before we do that, we will turn it over Stan for safe harbor disclosures. 
Stan Dodge: Thanks, Jason. And good morning, everyone. And thank you for joining us. We ask that media representatives not identify participants or their firms in your reports. We also do not allow audio taping and ask that you respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-K. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements that we make, wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. And with that out of the way, I'll turn it over to Joe.
Joe Clayton : Thanks, Stanton. Good afternoon to our East Coast participants and good morning to those of who you on the West Coast. Charlie had to say that one more time. Since most of you have undoubtedly read our 2014 financial results press release, we will immediately open up the phone for your questions. We have about half an hour for the Wall Street analysts, and then time permitting about 15 mins for the press. With that let's get started. Operator? 
Operator: [Operator Instructions] Your first question comes from the line of Marci Ryvicker from Wells Fargo. Your line is open.
Marci Ryvicker: We are going to miss you at CES. I just wanted to let you know that. And Charlie two questions for you. Now that the AWS-3 auction is over and it feels like you have all the building blocks that you need. We are all curious about not only how you plan to monetize the spectrum asset but about the timing. And given the build out requirement, do you feel any pressure to do something sooner rather than later?
Charlie Ergen : Okay, thanks, Marci. First of all, just to make just thank Joe for his service of almost last four years and it has been a pleasure to work with Joe. It has been lot of fun and I've learned a lot and I think our teams learned a lot and he is also really help build our team and we are in good hands with next generation of management here at Dish and we are going to miss Joe and we wish him well. And in his hunting and fishing and whatever things he is going to be doing and but he is left -- I think the mark of a really good CEO is what you leave behind and maybe we will take a little bit step backward but we are going -- our best days are going to be ahead of us in part because Joe has left us in good shape. As far as the auction, obviously the auction was a big piece of strategic piece of where we needed to go. I'd started with really there were two things that we needed to accomplish in the auction, both of which I think we were able to do with our partners, our DE partners. One was we obviously need uplink spectrum to go -- we needed to build it to go all down link with their spectrum if we could. So we've realized we have the option to do that. It was a next year to go all down link if we so choose. We now have the ability to do that because of the uplink spectrum that our partner acquired in the auction. We think we have the option to do that, let's put that way. And obviously we believe there are lot more value in down link than up link. The second thing was that the FCC has made clear that if there is a large players in this auction they will fight for interoperability between the AWS-1, AWS-3 and AWS-4 band, interoperability is super important for all of constituents in this auction but certainly Dish as well and I think that there is momentum now to see and certainly the FCC has made a promise on interoperability and I think that that's a real positive in terms of where we go forward. So that leaves us with the build the fact we haven't been talked to anybody for six months in this industry and now I think the lines of communications are open between them, the players in the industry. And potentially players that are in this industry today. And we will spend -- our first focus will be to make sure that the DE that we work with will acquire the long forms and get the licenses issued to them and then we will have strategic meetings after that to decide kind of what's the best path forward is. That's a. And then the second part of your question, we have a rule here that we do it right the first time. And we don't feel pressure to have to do something tomorrow. Many analysts have misreported our build out requirement so let's just kind of set through record straight of that. In our AWS-4 spectrum, we have until 2017 for our milestone and 2021 for our second milestone. If you miss the first milestone which is to build I think Tom 40%.
Tom Cullen: Yes. 
Charlie Ergen : 40% of population then you lose one year that the penalty is that you lose one year on your second milestone. So that if you were to look at from that kind of longest term scenario then you have up to 2020 to meet your milestone of building I think is 70% of the country. So a lot of that will depend on strategically how we move forward and some of it will depend on the technology. But probably most important that the speed at which we can move forward will be what the big guys will try to do and call 3GPP. So what happens in this industry is as soon as you become a competitor the big guys take you on and try to stop you. They try to stop you in Congress, they try to pass laws, they try to file against you an auction, they try to do -- and they try to go against in 3GPP, they try to go handset manufacturers and they cause all kinds of mischief. And one of the things they do in 3GPP is they try not to get your band approved. And so you have to do that before any handset manufacturers will manufacture product so we have lots of battles ahead of us. And the same guys that are going to be filing against build out schedules are going to be doing their darndest to stop this in other ways. And FCC is not naïve about these things. And we will -- once we get approved in our brand 3GPP, first we got to get the spectrum, second we got to get approved in the bands and then we are having the ability to build out. So those are all things that we have to get done. And will certainly have more information for the street and for every analyst as we move forward. But obviously we are in a good position strategically at this point. 
Operator: Your next question comes from the line of John John Hodulik from UBS. Your line is open. 
John Hodulik: Okay, thanks. Charlie, how do you feel about potentially selling up may be a portion of your spectrum holdings like the 700 block that you have as opposed to selling the all spectrum together? And then could you talk a little bit about the advantage of a longer term leasing arrangement that -- to some of other players in the space that may need to access some of your spectrum as their capacity needs grow? Is that something that you would entertain? Thanks. 
Charlie Ergen: The short answer is yes. We would entertain that. I mean those are two options out of probably dozen options that we have. Look, we are going to entertain those things that will provide competition to this market place. We will entertain those things that are good for our shareholders. But we are not walking in with -- this isn't something we have predetermined things that we are going to do before we have a conversation with people. There is people both in industry and outside of industry that are interested in this industry and particularly the spectrum and I think there will be a lot of conversations over the next few months. 
John Hodulik: And just quick follow up. Why don't move ahead with a structure that would allow you to efficiently sell that spectrum, pending tax issue way now? Is there reasons why you won't create a separate structure or do you need to do to make that happen now?
Charlie Ergen: Well, again we don't have preconceived notions of what we are going to do other than ideally as we said on virtually every call we've had the last five years, our dream would be to enter the market place and provide meaningful competition. But structurally we will look at every structure that make sense for the company. If you ultimately made a decision that you are going to sell the spectrum or you that thought there was a likelihood that you might highlight because you might do, you might have a different structure, you might structure your company differently. But we haven't -- again that is not a decision we made yet. 
Operator: Your next question comes from the line of Brett Feldman from Goldman Sachs. Your line is open.
Brett Feldman: Hi, thanks for taking the question in. You said earlier that you may have the ability to use the uplink that you purchased in the auction to take advantage of all the downlink in your other bands. I am just curious whether the word may carry the nuance that we don't fully understand. Then just beyond that you have obviously tapped into your balance sheet pretty significantly and were to fund AWS-3 purchases. Do you have a different philosophy now going forward in terms of the amount of leverage you are comfortable with? Are you going to run the DBS business differently and do you think you have the ability to buy more spectrums if that was an option going forward? 
Charlie Ergen: Well, it's a lot of questions by at least some amount. The uplink -- realize that in this auction we ultimately work -- we ultimately were unsuccessful as Dish to acquire spectrum, the price just got too high for us to look at that economically and think that that made any sense. But we were fortunate to work with two DEs that are set up by the FCC to participate with the discount. But we don't control those companies. And they get to run their own ship and so while we think we are may be one of the few if not the only person that could use the unpaired uplink spectrum, there is no guarantee that they want to work with us to do that. They may have other things that they want to do. So that's why use the word may. About other parts of the question, in terms of how we run the business differently. I think we run -- we think there is a lot of Dish's material business, we talked about that. Its core business, Roger, he is starting the business that probably has kind of the new wave of -- for some people to get new people into the business that probably has some upside but the core business is a mature business and we will run that as a mature business and we will run it to -- with both our eye out look for opportunities what we think there are some to grow that business. As far as we used a lot or most of the cash that's available on our balance sheet in this auction. Currently we've been obviously saving it for long time. It was a best investment that we felt we could make with our cash. We obviously think that to extent that they become future opportunities, that we have to address those and see whether a careful structure make sense to participate in other things. But this was the thing that has made the more sense in the last five years to us and we were patient until we found the best place to spend our capital.
Operator: Your next question comes from line of Jason Bazinet from Citi. Your line is open.
Jason Bazinet: Thanks. I just had a quick question on liquidity. I may be doing the math wrong but it seems like when I look at the cash on the balance sheet and some of the payments you've made to the FCC, it seems sort of tight, do you mind us walking us through sort of the how you are thinking about liquidity through March 3rd?
Charlie Ergen: I would say it is tight compared to company used to -- they had $10 billion on our balance sheet but it is not tight, it is not tight for company to generate approximately $1 billion a year in cash flow. So we feel comfortable, I mean I don't know, Steve you may want to jump in here with some here with -- but we feel comfortable in terms of where we are from liquidity point of view including the fact that we have a bond payment due in May as well but we feel comfortable that liquidity is not an issue. 
Steve Swan: That's exactly right because the underlying Pay TV business is free cash flow positive. We are satisfied with our current cash balance. But as such we will access the capital market opportunistically going forward. 
Operator: Your next question comes from line of Philip Cusick from JP Morgan. Your line is open.
Philip Cusick: Hi, Charlie. Thanks. I wondered if you could talk about the broadcast auction. As we look out a year, does this have anywhere near as much importance as the AWS auction did? Thanks.
Charlie Ergen: Well, the broadcast continue auction I think is very important and I think the importance really is may be a little bit but it tuned to what T- Mobile has been saying and what their CEO said last week or so which is that low band spectrum is -- to be successful in wireless you have to have a combination of low band and mid to high band spectrum. Mid to high band is obviously for capacity and the low band is for coverage. And probably the strongest asset that AT&T and Verizon have is they have virtually all of the low band spectrum so that their networks, when they brag about their networks in part it is because their coverage is better because of the low band spectrum. So, yes, the FCC wisely is trying to set up the incentive auction, the broadcast incentive auction so that there can be some set aside for non the major non incumbent so they can actually get some low band spectrum to compete. And that's very, very important. So I would say, I would say, a, it is an important auction because it is spectrum. And second it is an important one to level the playing field from a competitive point of view and I'd agree with what T- Mobile is saying in the sense that I would hope that about at least half of the incentive auction spectrum would be set aside for essentially new entrants who don't have critical mass of low band spectrum. So I expect it will be -- depended on how they set the rules up, it will depend on competitive auction it is. I mean to the FCC's credit on this last auction, they set the rules up to make very competitive auction. And as a result they have the largest auction in the history of the world I think in terms of communication auction spectrum even though wasn't that much spectrum and even though some spectrum unpaired, the uplink spectrum was impaired, they value the downlink spectrum was a such it was a record auction. So they set the rules up correctly and provide a competition where competition has been lacking in some of the previous auctions that we participated at.
Philip Cusick: So given your comments about liquidity a minute ago, should we be ready for you to rebuild the war chest here, as you look out into that auction?
Charlie Ergen: Well, I think that a lot will probably happen between now and in the next incentive auction I think. The timing of the next incentive auction is still questions about that. Certainly the big guys are going to want to delay it probably and little guys are going to want it as soon as possible but you still got to bring a third party which is a broadcaster to the table in a way that's fair to them and that they wanted to participate in, so there is lot of jockeying for position but we are hopeful that the FCC can have the auction, if the auction comes about next -- this time next year, we hope to participate. We have a skill set for auctions that we have skillful team for auctions; we are knowledgeable about spectrum in a way that we feel confident. So we just have to see what the rules are and when in the timing of it and where we are as a company at that point of time as to -- and whether we can afford to participate or not, is also all questions that have to be answered. 
Operator: Your next question comes from the line of Walter Piecyk from BTIG. Your line is open. 
Walter Piecyk: Thanks. Just I want to go back to a follow-up on the comments that you would access the capital markets opportunistically. Is equity one of the things that you would consider using opportunistically?
Charlie Ergen: Yes, this is Charlie. I mean I don't think I think that answer we could give on every conference call, which we always look at the capital markets and say are there opportunities to make sense, do you have some of the use to money, we actually had kind of negative arbitrage for a number of years and which probably wasn't to the benefit of our shareholders and so we prefer not to do that. But you also raise money when you don't need it sometimes because we are pretty conservative. So when it comes to capital structure I think that today we don't have any plans today but if there were something that made sense and it could be any combination in a market place we are receptive to something and it could be debt equity converge whatever else, I don't know what else you can do, you can sell your kids, we look at -- the market sometimes some financial instruments just end up been at right time at the right place because of the market, because of the position, we are certainly look at that. Investment bankers are smarter than us and that kind of thing. 
Walter Piecyk: You answered Phil's question on the incentive auction. But if I want to ask about two other chunks of spectrum that are out there, if you would have comments on whether you have interest in them? First is the 2.5 spectrum. I think Marcelo and your friend Massa [ph] have talked about potentially selling some 2.5. Would you have any interest in buying that? And then similarly, there's a chunk of that 2.5 spectrum in New York that NextWave debt holders own a piece of. So to the extent that they are selling 2.5, does it make sense strategically to buy the 2.5, either from these NextWave ex-creditors, or if Sprint was going to sell some of the stuff?
Charlie Ergen: Well, I mean obviously to the extent that there is spectrum available we take a look at it. 2.5 is given the success in the last in this auction with mid band spectrum, it is probably not as attractive but it depends on price. The interoperability of the current -- of the last auction made it more attractive, the propagation characteristics make the last auction more attractive but obviously there is an ecosystem that will develop for 2.5 and to extent some becomes available and we think that been in that ecosystem make sense to us. In the prices wise we certainly take a look at it if we get afford it certainly. There is no really auction; I think in management, we try to stay away from preconceived notions. We are happy to negotiate with people before the ground rules are set. And this isn't Middle East peace treaty where it starts off with we don't trade this land; we are not going to have a conversation. We don't put preconditions on negotiations. Rather you try to talk to people about you can improve their business and improve your business and both shareholders come out in a win-win situation. That's a much productive way to talk about things. 
Walter Piecyk: And Charlie, you have been vocal on the risks posed by that Comcast/Time Warner Cable combination. Just curious if you think the government will seek to block the deal? And what would be the risks posed to your recently launched Sling TV, if the government allows the deal to proceed?
Charlie Ergen: I'll let Stanton start with that one. 
Stan Dodge : I'd say I think we will stay out of the handicapping game as to where we think the government is thinking but we will say this, we didn't announce to show-- if we are foreclosed by Comcast or Time Warner, our Sling TV business would still be viable. So if you put those two together and the exercise their monopoly power over 50% of the homes with access to broadband in this country that Sling TV wouldn't make it.
Charlie Ergen: I would just add that Comcast and AT&T over the top services if you believe that services are moving in that direction which they are obviously around the world and starting to have in the United States with things like Amazon Prime and Netflix and Hulu then Comcast and Time Warner aren't would be competitors. There is regional propaganda that they put out is not accurate. They actually become national players in OTT side. They would use each other's networks, right. And they are not likely to cause lot of problems to each other and they will be natural competitors. That goes away in a merger. And I think that's a real risk of competitive nature in the industry. Roger, you deal with this; you want to add to that. 
Roger Lynch : Yes. Just to the point Stan made about they are controlling more than 50% equally or in more important control 19 of the top 20 markets which is where we think the main key opportunity, in terms of skewing younger people win over market. 
Operator: Your next question comes from the line of Amy Young from Macquarie. Your line is open.
Amy Yong: Thanks. Two questions. Charlie, should we expect that you will stay on permanently as CEO, and running the day-to-day operations? And my second question is just on programming. Can you quantify the impact of Fox in the quarter? And also any impact for 1Q? And what term might look like? And I guess you have a pretty high profile deal coming up with Viacom. How do you view the importance of that programming at this point in time? Thanks.
Charlie Ergen: First answer is I certainly will stay on as CEO until I can find somebody better. And I am sure there are people better than me out there. So but on other hand I think there is talent with Dish today that may come along with a little bit of nurturing and certainly as somebody gets better than me. I am obviously capable of firing myself. So you can be confident that when one somebody is better they will be running this place. Obviously not just Fox but obviously we had CBS down for short period of time. We had Fox, we had Turner Broadcasting. Those are all negative impacts to your company short term. And you have to balance the short-term negative with the long-term risk that you are paying too much for programming. And so we know -- for us it is pretty easy in part because we have got good finance team and we know what -- we know generally what our customers watch and how many hours they watch a particular networks and we analyze what the value of network is by how much our customers use it and how much they value it and how many hours they watch. The network itself they have an only playbook which you are paying us x and we want x plus 10%, next year even though our viewership might have gone down by 10%. Well, that math doesn't add up. And the industry can't survive in a situation where content providers want double digit increases but they got double digit decreases in viewership. And it gets compounded by the fact that the content providers also have diluted their programming to some extent by selling the same content to other providers particularly some other OTT providers with their contents now available then that dilutes the value to product and of course over the next few years that will decrease the viewership from the MVPD platform at least -- so that we have to balance all those factors together and you end up in a situation where -- I said this before the programmer will self select They will ask for price increase so high that we or others will just say based on viewership if we make more money long term by taking you down. And not providing you programming. And so we are fortunate that we value our relationship with Turner and CBS and Fox and while it is painful for us and probably for them and we certainly will lose some subscribers out of it. I mean certainly it impacted the fourth quarter; it will impact negatively the first quarter. We have long term deals that make sense for us and make sense for them. And we are really happy that those relationships can continue on because we think highly of those companies and think that they are going to be long-term players in the content business. So as far as Viacom, it is one of our better relationships, we just renewed a new deal with them with Epix and so they are value content provider and I think that as eventually we don't talk about our negotiations per se but as we get in timing of those things but as we get into those things as long as we are treated fair, our customers are treated fairly and we are treated fairly, we would be hopeful that we will continue to for long time with Viacom as we have for 20 years. 
Operator: Your next question comes from the line of Vijay Jayant of Evercore ISI. Your line is open.
Vijay Jayant : Charlie just wanted any color on Sling TV so far. It is been kind of early but any color on the breakeven points and Disney keeps mentioning it is an experiment and there is some sort of caps on it. Can you give us any detail on the real scope of this opportunity? Thanks. 
Charlie Ergen: Yes. I'll let Roger address it. 
Roger Lynch : So I mean first of all we only just completed the commercial launch two weeks ago. So we were in -- invite only a day before then and really completed the full commercial launch in February 9. So I mean early results are encouraging but they are obviously just early results. We are seeing really what we expected so our strategy really has been to go after people for whom traditional Pay TV doesn't meet their needs. So these are people who don't have first of all Pay TV large like, so we are skewing younger, we are skewing more male as we expected. We started with the free trial so lots of people came in with a free trial. And it is little early to tell sort of long term what this means but we are encourage by it and as I said we are really focused on the segment of the market with traditional Pay TV is not.
Charlie Ergen: And I wouldn't -- I think it is bit more than experiment today. I think we know that there is demand from people who particularly for something like ESPN for people who ready the blogs and you read so forth for they say, I can get my sports and I was having to go to my parents house and or was having to go to bar, I just wasn't watching the game and so there is a lot of people happy about that. But I think the more interesting thing will be when Sony launches their product which is in fact as we understand it a much more comprehensive OTT product and really I think will be a direct replacement to cable and satellite and phone, video subscriptions and I think that will be more interesting how because that will actually have an impact on the MPVD market. I think we are interested in the incremental business. But I think Sony because we are not in the -- they are not in the current environment; don't have a lot of investment in infrastructure like cable and phone and satellites companies do. I think they are more ought to be more disruptive. And I think that will be -- it is competition, we are okay with competition. But that will be more disruptive. 
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley. Your line is open
Ben Swinburne: Thank you. Sticking with Sling another quick question for Steve. I guess Charlie and Roger; do you think the programmers' mindsets have changed over the last six to nine months? Is sort of seems like externally anyway that they are looking for over the top to the new revenue stream in a way or I mean over the topically outside the bundle in a way that wasn't true a year ago. If you agree with that, do you think that has implication for your business on the Sling or Dish front? And then Charlie just going all the way back to your Sprint plans couple of years ago, you talked about mobile and Pay TV and sort of bring those together as an interesting way to attack the market. Is Sling a foundation for you might do in wireless? Is there anything any relationship between those two or you view them as a totally separate? 
Roger Lynch : This is Roger. Let me just start with the programming side. So I think it was four years ago Charlie and I went around and starting meeting with some of the programmers to talk them about the ideas we have around over the top. And it was clear, it was very early for them in their thinking and there was a lot of I would say concern as the competition At that time about you might upsetting the apple cart and what it is mean for the overall industry. There was interest but there was some trepidation. And after we launch, we announced the Disney deal and through those negotiations we found that Disney was concerned about the same things we were which is how do we grow the Pay TV market, how do we get people whom traditional Pay TV bumbles are not meeting their need. Then that was really a watershed event in the industry and we've obviously announced several programmers since then. And I'd say today contrasted to four years ago, there are more programmers who are concerned about not being on the platform. Today are about being joining the platform. So I think there has been a significant mind shift amongst the programmers, with that majority of the programmers because they've seen the trend that we have been seeing in the industry too. They realized that they need to give response.
Charlie Ergen: Our hope is that as we work through the programming partners that are working with us with OTT that when they add all it up year from now or two years from now or five years now they did better than better they made more money than they otherwise would have with perhaps other ways they could distribute their product. And obviously getting people who aren't paying for TV today or people who have the cut the chord or will never buy it or we will buy this product and ultimately moving into a house and buy a bigger package later. That's an important thing and then the advertising where we can do advertising on one-to-one relationship and do a much more meaningful interactive type of advertising and the data that can come out of all these to make their businesses better. We think that's first time that we are able to have a win-win conversation with the content provider as opposed to they just want -- normally the conversation is they want more money, they want a 10% increase in their product and they have 10% lower viewership, that's a zero some game conversation. But when you start talking about how we get people who aren't watching you today and we get more money for advertising on a per ad basis. And we make it more appealable to a customer and they can watch it on every device, both inside and outside the home. That's a win-win conversation. And obviously Roger and his team spent a lot of -- has spent the last five years development technology to do it. As far as your second part of the question, it is part of a strategy. Sling is a part of strategy to take content to a more mobile basis to more wireless basis because that's the way the next generation is going to watch television. They are going to watch as much or more television on a phone or a tablet or computers as they are in a big screen TV. And if that's going to happen then how do we have to have the infrastructure to do that. And so part of that foundation for any wireless project that we would do that we can envision that we would do are in partnership with somebody would involve a heavy deal of -- heavy dose of video and content and we believe we've developed a platform that's precursor to do that on a wireless network. 
Ben Swinburne: And if I could just quickly ask Steve a question on a financials, given the free cash flow comments earlier, what can you tell us about the tax outlook because you guys have had de minimus cash taxes last certainly in 2014 but you don't have any NOLs, any guidance you can give us on cash taxes for 2015 or what might impact in terms of accelerated depreciation or anything?
Steve Swan: You can take the book taxes and then you can make assumption that some of our accelerated deprecation will continue into 2015. There is a book to tax accelerated depreciation help that Congress has given us a couple of years, that is called bonus depreciation and that should continue into 2015.
Operator: Your next question comes from the line of Kannan Venkateshwar from Barclays. Your line is open.
Kannan Venkateshwar: Thank you. Just a couple of questions. The first one is on all the content use. Now that you also have Sling in the picture how is the nature of the negotiations? Whether it is with Turner or Fox or any of these other entities changed? And are you negotiating this on a combined basis? I know some of these deals are not on a combined basis but how you are going forward in all your content deal? And secondly just from the funding perspective, when we look at the total amount of cash that have been put into the designated entities, it is obviously much higher than the amount that is required as a proportion of the 85%. And obviously there is likely some equity funding for how these businesses do in the future and so on? So if you could just help us with how we can think about the funding of the designated entities going forward beyond the spectrums needs, that would be very helpful.
Charlie Ergen: Are you want to take the second part, Tom Cullen will take the DE how they might fund.
Tom Cullen: I just commented in the short term there are several hurdles if you will that are in front of us with the DE is moving forward. So first we will go through the approval process with the FCC, secondly there will be a lot of work with MTIA and the various federal agencies that are currently incumbence on the uplink of the paired advance so that will take some time to clear and as Charlie said earlier, duck tailing that with the 3GPP effort you are probably looking a year and year and half out of those things take time to get completed. In that timeframe then you will have better visibility as to when that federal incumbence will be vacating the spectrum and therefore that impact the timing associated with any build and operating expense. I would note that -- 
Charlie Ergen: You might mention the build out schedule on this auction. 
Tom Cullen: Yes. There is a distinction obviously with the earlier build out discussion this auction AWS-3 spectrum has a 12 year build requirement from the data the licenses are issued so we anticipate that some time mid year after the DE long forms have been approved and then that's a 12 year build schedule with an interim milestones. If the interim milestones that is not met the build schedule is reduced to 10 years. So you got to keep in mind these are two different planning horizons but as Charlie said previously we like to do first right the first time and so we are trying to take a holistic view of all of our spectrum holdings to say how can we anticipate band plan developing that would take into account H block AWS-3, AWS-4 and even E block. One encouraging move in that direction was during the December 3GPP meeting the RAN plenary group which is Radio Access Network did adopt 70 by 90 BM plan should that incorporate AWS-3 and also included 20 megahertz of AWS-4. So that's a first step in moving towards AWS-4 interoperability and ecosystem development. So long story short other than the information I was disclosing in the 8-K is our prepared to share and regards to the DE structure today but as you can see from that there are opportunities for us to continue to fund the organization as they needed as those business plans evolve. 
Charlie Ergen: And there is obviously before you go for the capital, they could choose to do something different with their own capital structure. And so they probably better the guys to ask for that particular question. And then on the negotiations, each programming negotiation is different. In our business, Roger's organization with Sling TV and the core Dish business are separate entities. Separate P&L, so we don't necessarily try negotiations together and in some cases we have content providers who prefer not to participate in OTT and Sling TV today. And that's certainly okay with us. And then we've had other program content providers who would like to participate in both ways and in some cases they've almost -- they have seen the upside in the Sling TV side of it, they part of those negotiations with Roger's team and part now with Bernie's team. But we are not again we would like to have open -- our conversion is how we make more money together. And let's go from there and every time somebody convinces us we make more money, we have really good outcome.
Kannan Venkateshwar: One more follow up on the balance sheet. I mean what's the minimum amount of cash you guys require to run the core business? 
Charlie Ergen: Well, I mean when need to have all checks clear. We need dollar right because we are positive cash flow. I think we've always felt comfortable. I think we've always looked and said we would like to have billion dollars of cash or liquid investment on our balance sheet. And we just been -- you guys gotten a little bit spoilt with $10 billion on our balance sheet, when you take $10 billion and put it to work we think that's a good for shareholders, when you can get value for it. That's kind of what we've done. But you feel pretty comfortable as long as your cash flow positive of having de minimus amount of money because you got money coming in every month. 
Charlie Ergen: Operator, we have time for one more question from the analyst before going to the press. 
Operator: Our final analyst question comes from the line of Tom Eagen from Telsey Advisory. Your line is open.
Tom Eagen: Great, thank you. I have a follow up on a previous question. Hope you could provide some color and the language of the Sling TV contrast with the programmers. For example, are there any subscriber minimum that have to be reached? Are there any material differences between the deal with Disney and with other one? Thank you.
Charlie Ergen: You want to talk here, Roger. 
Roger Lynch : Yes, just we don't comment on the details about programming agreement with our partners. 
Charlie Ergen : They are confidential agreements so we will protect that confidentiality.
Charlie Ergen: All right. I think we are going to let the -- so thanks we will be back in May and the press is going to be on. Thanks, everybody.
Operator: We will now take questions from the members of the media. [Operator Instructions] Our first media question comes from Jimmy Schaeffler from Carmel Group. Your line is open.
Jimmy Schaeffler: Hey, good morning, Charlie. Coupe of future oriented questions. One is have you changed your mind in light of market place developments on marketing and owning content? And then second question is you talked about last quarter and I wrote about your comments on the internet of things and carrying Ben's question just a little bit further out, could you add a layer to what John Chambers and CNN said yesterday about the internet of things. And how Dish and EchoStar's future fits into those? 
Charlie Ergen: We'll start with content question. I mean strategically we haven't too excited about owning content. That's for a couple of reasons. One is we are not very good at it. It takes special skills and dealing with our content partners we realized just how difficult that is. So it is just not core competency for us. And the second thing is I have never felt like it was that productive for us to have a mindset here that would actually compete with doctor hunt and partners. So we have since started this company we've been open to all kinds of content, we are switch to one of content -- we are not competing with the people that aren't our platform. And we try to give all our content providers a fair shake from our marketing channel placement et cetera, pricing point of view and then kind of let the market place decide what they want and watch and we carry the most liberal of news to the most conservative of news. And everything in between and we are proud of that fact. I don't know -- it is not to say that there couldn't be content deal that made sense for us as a company but it is just not something we focused on much. I don't know what internet thing means but I guess Jimmy I would say this way that strategically I think it is always nice to keep thing simple. And if you can conceptually have a concept and you can build around it and for us the strategic concept with the internet of things is really that is everybody particularly the next generation is always going to want to be connected to the cloud. And they are going to be wanted to be connected to the cloud because every piece of information known to mankind is going to be in the cloud, right. And that information is also going to include video and entertainment as well as education news, healthcare information et cetera, right. So and you want to be connected, it is only -- you can be connected in two way that I know one is through a cable or piece of fiber and other is in wireless manner. And the only way you could be connected in your car or when you are outside walking and so for this in wireless manner. So that's what we focused on as to say how we have business that helps people always connected to information that they want. And that is about complex of strategies we have. It is pretty simple in nature and so that's why we focused on spectrum and obviously we will focus on how we can help build the network or partner with the network or work with people who have network that allows people to be connected to the cloud. And it is just going to take a different forms and there is anybody born today that isn't probably in every waking minute going to be connected to the cloud to their life, there is not many people that are -- there is not anybody who is left in five years old, they think when you have a phone call that you look at the person you are talking to. And you see him on the screen and there is not a person born today who doesn't -- isn't going to watch TV on a tab or a phone. So how do you make all that work and so that's really what we are building at Dish. And hopefully we are entrepreneurs after to help other people get involved in that system. Grow their businesses, we know what it is like to be small business, we know what it is like to be startup, to creativity in this industry is going to come from small business, is going to come from startup. We were really happy to work with the DEs on the auction, they are creative, they were tenacious, they were disciplined, they were better than we were as the big business. So they added a lot to that. We had to drop out and they did better than we did. And that's the beauty of small business. 
Operator: Your next question comes from the line of Scott Mark from Bloomberg. Your line is open. 
Scott Mark: Joe, congrats. Charlie kind a question in light of that when you look ahead like maybe two to five year do you see Dish is being more of an acquirer or more of the seller asset? 
Charlie Ergen: Scott, it's hard to say it you mean I think that what we hope is that our best day is ahead of us, and we think that our best days are ahead of us, and we think we have the management team to get there. We think we have the assets that we don't have everything we need in terms of assets, but we're certainly closer than we were several years ago. And if there is assets that we need we might be an acquirer. If we fail or if somebody has a better idea or somebody has more scale than we do that would allow us to do the kind of things that we think we want to do for competitive products out there and for the next generation than we could be a seller. And everything in between. But our main focus is to build the good product and compete and you usually if you can do something Joe's is always pounded this into our head for last four years is by the consumer first and give them a great product. And then if you do that if I can be really good for your shareholders and for your employees. 
Scott Mark: Great. There was some discussion that -- reported that there was interest in team mobile that you would took to a DTE management would that be something we should think about going forward or is that less of an interest in that. 
Charlie Ergen : Well, I think T-Mobile is a company we think highly I mean it's hard not to be impressed with what they've been able to accomplish in the last couple of years. But there is equally impressive companies, the other companies in the business is equally impressive companies outside the business that may want to be connected to the cloud. So we'll take a look at what normally happens is that ultimately the company's is get strategically aligned and they becomes a will to do something better than what they can do individually. And when that happens you have a chance to move things quickly now whether T-Mobile and Dish ever got strategic aligned is unclear, whether we get strategic alignment with somebody else is unclear is whether or whether nobody wants to do business with us at all, and all those things could happen. But when you can get people motivated in the same direction whether be employees or business or our partners then good things happened as long as long those motivations are to the same end. And we want to build -- I only tell you we want to build the great product, we want to make a great -- we want to compete, we want a great partner for consumers and it at its core is going to have video. That's what we would like to do. But we can find somebody else who wants to do that, whether we have to go alone or whether this is just stupid idea and we have to fold our tent I can tell you. 
Operator: Your next question comes from the line of Phil Goldstein from FierceWireless. Your line is open. 
Phil Goldstein: Hey, everybody. Joe congratulations as Scott said surely two questions if I may, I know you've said that you're not pretty to supposed to do anything at all, it is all going to depend upon what conversations you have and how that all comes together, but building on your response to Scott's question, what factors would you guys need to have in place or consider in order to become strategically aligned with the partner in the wireless industry. And then you mentioned video as a core component of any wireless offering that you guys would want to have in the market. Can you just talk about how it would be differentiated from existing offerings or other things to carriers are working on in terms of -- can you broadcast. 
Charlie Ergen : Well, I mean I think that look where we built the company and video for 35 years or so if we think and we think that video and I said this way that wireless system is now are going to be in the future data centric and video is going to be the biggest portion of that data. So we think those two things go together. It's possible that people have different ideas but we think there is a room -- we think there is more -- I would say there is more value and what we do at Dish Network even though it's a matured business than maybe we're getting credit for. Obviously AT&T saw that value in Direct TV to some extent. And that's how do you and then it's really how do you build a better product and how do you and look I hope that the wireless industry five years from now is materially different than it is today, I hope the cost per bid goes down, the fact that you can go between devices and not have to pay fee for this and a fee for that and all of data caps and all the -- and the things such that that have to be determined in terms of net neutrality and how your system operations and all those things. I hope that -- I just hope its consumer friendly. It's not surprising to me that I would say at least from my personal perspective that the company that's focused the most on the consumer has been T-Mobile and it's not surprising that they've got the majority of the net ads and industry in the last two years, and I think it's in part because of their strategy because I think they initially have the best network in the industry today. So they have -- 
Phil Goldstein: I mean just don't make it as the first part of the question what would you after consider in order to become strategically aligned with another company in wireless whether there are an existing carrier or not. 
Charlie Ergen : Well, I think it would ultimately have to be good for our employees and our shareholders and it has to make sense alright. But it would have to be from my personal perspective it would also include the fact that you can build the better product, that what you would do strategically as a result of it the strategic relationship would be better than you could you by yourself or better than they could do by themselves. And that's a good starting point and then it has to be good for your shareholders and your employees. 
Operator: Your next question comes from the line of David Crow from Financial Times. Your line is open. 
David Crow: Hi, there. I mean I think quite a lot of criticism at the end of last week of how much spectrum you control following the recent auction. I think the lad just said you could sit on it for 10 years technically. So I just want to know how you would respond to that, and two if you could give a sense of any timeframe you have for making your intentions clear. If it's not 10 years then when. 
Charlie Ergen: Well, I mean I think obviously we'll as we as a public company we'll make sure people are understand our strategic stuff going forward when there is something to talk about. As far as a criticism of our auction participation I would say a few things first and foremost. One there was there were some criticism that we cost the -- first let me about the rules, rules were all set out they were proved by one of anonymous approval by all the FCC commissioners and everybody had a public notice to comment on the rules. And so we went by the rules. The second thing is that we didn't do anything that I think there was an AT&T blog they talked about what that we've created artificial demands and things like that. Well first of all, if anybody is been an option. We'd know that's impossible to do, we beat economically and every license that we bid on and we wanted to win and there was nothing artificial about it, we wanted to win the license, we're disappointed that we didn't win all the licensees right, but we're also economical and when it's impossible to stop somebody from winning the license, they all have to do is bid a dollar more right. So if you want to win New York City you got a bid a dollar more to win it, and you win it and there is nothing that anybody can do to stop you, there is nothing complicated by an auction, it's the guy that wants to pay the most money wins in the sense. And so what I think the criticism is unfounded because what's different about this auction was that the world -- that it's the first auction since the advent of data and the advent of broadband and the so the world of auctions before we're talking about spectrum for voice and texting didn't make a lot of sense and we always thought the auction would go as a result would go from more money than people thought it would. And as a result yes the first auction where people start to thinking about data and there was more demand for the product because of the demand on spectrum needs. And so we obviously all you it -- the only thing I can say is that whether people might call it artificial or loopholes in laws or whatever the people have to say, I mean it I would just say it's competition I mean it's just competition and not everybody wants competition, and this was the first competitive auction, and we are proud to be part of it and we're really proud to work with the DEs and we provide the competition to an auction that on the one hand people say cost the US Treasury $3 billion and on the other hand people say was $20 billion higher than it otherwise would be because we participated. Well you can have a both ways right, and I'm sure that in a competitive auction the tax payer was well rewarded, and I think we hopefully paid a positive role in that aspect and everything else is if you want to compete you've go to compete and that's all you can do. And in terms of build out, there is every wireless carrier today has spectrum that they haven’t build out yet the wireless carriers that can complain about build are usually guys fighting you at 3GPP and fight you in Congress and fighting to keep you out of the business and I hope that they support us in our build out and all the things that we need to do, and all the regulatory stuff I hope they support us. And then they have clean hands otherwise they are hypocritical.
Operator: Your final question comes from the line of Malathi Nayak from Reuters. 
Malathi Nayak: Hi, this is Malathi from Reuters. Thank you so much for taking question in the media. Charlie, I was wondering why you've decided to be CEO again and another question I have for you is do you think the spectrum is worth more if you keep it or sale it? 
Charlie Ergen : Well, I became CEO because, a, the things I was working on the strategic side are now in great hands with Tom with the wireless side all the things we're doing within and Roger on the OTT side. And with Joe leaving I thought it's a good chance to get back into the day to day operation and see, and I haven't spent really much time in the last four years and there is a lot of good people and management there. And I want to get know them and I think we hopefully we can make some improvements and much of the stuffs we do in our core business is going to be relevant to what Tom is working on and what Roger is working on. So it's just good timing to do that and I'm very appreciate the Joe allowed me to go do some things over the last four years that I think in small parts help us to being a strategic position. And then obviously with spectrum while we buy or sale it whatever I think we've answered that that I mean hopefully we're going to use it in a way that provides value to our company but also provides competition and good product. And how that manifests itself, I guess you don't hear much from CEOs but we don't have all the answers today. But I think when you grow a business from scratch and I think when you have the kind the team that we have we're very confident that we can build value and build great products here and we've done it for a long time and we think we can continue to do it and we think we can do it in the wireless industry. With that I just --
Malathi Nayak: Could I just ask one follow up question? Yes, thanks so much. So in terms of the scenario where you would keep the spectrum, would you consider perhaps some sort of business model where you could use the spectrum in partnership with other carriers for instance T-Mobile or Sprint? Could you see any value in that?
Charlie Ergen : I think that's an option. I think virtually everything that somebody suggested on this call is potentially -- are potentially options, but it boils down to -- it boils down to management that's what we do. That's when we come to work here. And we think about it, when we meet as a team. We are thinking about all the things you guys are asking about. And then we ought to ultimately make decisions on how we move our business forward and so look it is a little bit early because nobody in this industry has been able to talk to each other for six months. And as the dusts clears here and everybody goes back and looks at what happened and sees how they -- if they got what they wanted or didn't get what they wanted then I am sure the conversation is will happen not only between Dish and other people but I am sure that other companies, I think somebody mentioned Sprint and their spectrum, other companies will have conversations, there is big mergers out there, what happens with Comcast and Time Warner, I think that's going to play a major role as to what the government decides through there. There is Direct TV and AT&T that's going to shift this industry depending on what the regulators decide. So those all are going to be factors in people's thinking. The only thing I am pretty sure of is that if you want to be competitive in this industry you are going to need spectrum to do it. And I think that Dish will be in a lot -- I think we are relevant and I think we will be in a lot of conversations. So that's for us, that's opportunity and I think we know how to manage, so we will see. 
Charlie Ergen: All right. Thanks, everybody. We are back I guess in a few months in May, April. I don't know. Thank you. Thanks everyone. 
Operator: This concludes today's conference call. You may now disconnect.